Operator: Good morning, ladies and gentlemen, and welcome to the HELLA Investor Call on the results for the first half year of fiscal year 2025. This call will be hosted by Bernard Schaferbarthold, the CEO; and Philippe Vienney, the CFO of HELLA. [Operator Instructions] Let me now turn the floor over to your host, Bernard Schaferbarthold.
Ulric Bernard Schaferbarthold: Very warm welcome to our earnings call for the first half 2025. I'm here together with Philippe, CFO at HELLA and Kerstin Dodel, who is heading Investor Relations. So starting immediately on Page 4 of our presentation. If we look at the key figures and the key achievements in the first half. So looking first on the sales side. So our organic sales are at EUR 4 billion, largely at the previous year level, minus 2.4% (sic) [ 0.4% ] year-on-year. Reported sales are at minus 1.3% with some headwinds, specifically in the second quarter. If we look specifically on our business groups, Lighting was down in the first half, 7.4%. Specifically, the end of larger volume projects were the reason on that sales trend. Electronics is with the continuous good momentum, growth of 6.6% and now at EUR 1.6 billion on the first half. Specifically, our radar business but as well business related to our Energy Management division is growing quite decent. Lifecycle Solutions was impacted by a weak demand on commercial vehicles. So overall, on the first half year-on-year, down 6.6%. On a positive note, specifically on our special application business, we are now seeing that the negative trend is now ending, and we are more optimistic in terms of the development on the second half. If we look at our operating income margin, we are largely stable to last year. We are at 6%. Our gross profit is slightly down in comparison to last year with, on one hand side, some negative mix. But in comparison also to last year, where a part of the positive within our gross profit was also related to the sale of our People Sensing business where we recognized EUR 17 million. So the comparable we need to remind on that one as well. We are working intensively on our costs. So we see with a strict cost discipline and cost reduction, we see a continuous improvement. Our competitiveness program, which we as well accelerated is showing step-by-step strong cost improvements in all areas, but specifically also within our R&D. So we reduced in the first 6 months, head count by around 3.4% overall. So this will now continuously lead also to further cost reductions in the upcoming months. We also said that within R&D, we were targeting to be below 10%. And we already see that now for the first half of the year that we reached that number. On the net cash flow, we are turning from a negative in Q1 to a good positive momentum now within the second quarter. We ended the first half year with positive number of EUR 114 million, which is an increase of around 34% in comparison to last year. We have higher funds from operations. We are continuously managing to improve in our CapEx spending. And as well, the factoring, which is within that net cash flow is at EUR 23 million and is a lower amount in comparison to prior year. In terms of our guidance, we are confirming the guidance to the end of the year. We see sales between around EUR 7.6 billion to EUR 8 billion. Our operating income will remain -- or will be between around 5.3% to 6%. And we assume to be at least EUR 200 million of net cash flow to the end of the year. If we move to the next page, on Page 5, we are quite pleased about the development in our order intake. We were able to win in Lighting important new projects, specifically also in North America, but as well in China with the Chinese OEM. And this should support our growth specifically in these 2 regions. Even more pleased, I'm with a strong development within our Electronics business. We won very important acquisitions on a lot of our new product offerings, specifically if it comes to our Zonal module business and the intelligent power distribution module, which we offer, we were able to win another order. And the same also on the Smart Car access. And to highlight as well, here on the high-voltage side, we were able to win another big business and as well another one on the Zonal Control Modules with an SOP in 2028. So important acquisitions in terms of new products, we have established into the market and as well important the regional distribution, which we are also targeting, as you know, so that we are more balancing out and getting more resilience also going forward. Lifecycle Solution is also showing a good trend in terms of order intake. So especially in the important area of trucks, but also buses, we were able to further win businesses and as well outside of Europe, which will also support that trend. Coming to the next topic on Page 6. So we started with our competitiveness program, specifically on Europe, early 2024, which we announced. And I made the comments that we also accelerate on the measures and add additional measures. What we have, in addition, now launched is the project SIMPLIFY. SIMPLIFY is focusing -- it's a global program, is a program where we also leverage and work together with FORVIA. And the target is really to streamline specifically in all functions and as well the administrative functions, our processes and our organizations and to get leaner, more efficient and less complex. This program should lead to gross savings of around EUR 80 million until the year 2028, and we will have investments and as well restructuring costs, which will be up to around EUR 100 million. So we believe that this program will bring us into a best-in-class organizational setup in the upcoming years. We did an intensive benchmark to leverage really on the opportunities we still have. We already have started on that program. And we believe that the combination of the competitiveness program for Europe and the activities in SIMPLIFY will significantly improve our competitiveness going forward. Having said that, I would hand over to Philippe to give more details on the financial results.
Philippe Vienney: Thank you, Bernard, and good morning to all. So yes, looking at the sales, so we reported sales of EUR 4.30 billion, which is 1.3% below last year. In this number, we have a negative impact of EUR 36 million due to exchange rate negative trend versus last year. And we have a volume reduction of EUR 15 million, so 0.4% in terms of organic decrease. So if we look by BG. So Lighting, we posted sales of EUR 1.8 billion versus more or less EUR 2 billion last year. So it's a 6.8% year- on-year organic decrease. So here, we have some difficult situation in Asia, in China, mostly where we have the Tesla model, Y which is ending in Q1 '25 and which is replaced by the new model, but the ramp-up is only starting, and we have not the full -- the same content either in China, which is also impacting the sales in China. We have some good ramp-up in Europe, especially on -- with headlamps and rear combination lamps with Volkswagen, for example, in Audi, but not enough to offset the decrease we have observed in Asia. The operating income is at 3.4% versus 3.3% last year. So here, we have relatively good adoption of our fixed cost and our material ratio. So the gross margin has been kept at a decent level versus last year. And we are also reducing our R&D cost and fixed cost and SG&A, which is also linked to the program, which has already been announced. So leading us to be slightly better than last year in operating income by 10 basis points. For Electronics, so we posted sales of EUR 1.7 billion versus EUR 1.6 billion last year. So it's an organic growth of 7.2%. So here, as said, we are helped a lot by our radar business, especially in Americas, where we have a decent growth, which is above the double-digit growth. We also have some growth in Europe with new programs, but which are not -- which are, let's say, offset by lower electrification in Europe. And we have also a very strong growth in Asia, thanks to the battery management system and car access, which have been taking off in Asia. Here, the gross margin is still impacted by some write-offs that have been booked, linked to the slow electrification in Europe. But we are offsetting part of it by lower R&D expenses with less use of external resources and also some impact from the cost-cutting plan, which have been announced, which is already visible. Lifecycle. So we posted EUR 500 million of sales versus EUR 537 million last year and operating income of 10.6% versus 11.7%. So here, for Lifecycle, we are very much impacted in terms of volume on the special application side with the reduction of the market on the commercial vehicle business in the Trailer and Construction. On the other side, the aftermarket is relatively stable versus last year after FX restatement. So here, we are really suffering from the special application domain, which has also led to a lower gross margin because we are not completely able to offset this volume drop, but still, we are also decreasing our R&D expenses and SG&A, which is favorably impacting Lifecycle. Looking at the sales per region, Europe. So Europe, our sales are more or less stable, which means an outperformance versus the market of 330 basis points. So here, we -- again, we have the nice development on the radar business on the Electronics and -- but partially offset by the team, again, here with the Tesla model, which is impacting the 3 continents, the ramp down and end of production of the Model Y. And we have also some decrease with some German OEM in Lighting. For Americas, we are at plus 1.9%, which means an outperformance versus market of 430 basis points. Here, we have also, again, the Electronic radar, which is business which is helping us. And we have also some ramp up in North America with Lighting, especially with GM, partially offsetting, again, the decline with Tesla. Asia Pacific. Here, we have a decrease of 7.6%. So that's underperformance versus the market. Here, again, we are very much suffering from the Tesla business in Lighting, which is going down. And on the other side, we have some growing sales with the battery management system in Electronics. So looking at the P&L. So again, sales going down by 1.4%. The gross profit is at 23.1% versus 24.1% last year. So here, we have the lower gross profit, which is also linked to, as I said, to electronic with some lower R&D margin and also some write-offs, which have been booked in Electronic. Lighting and Lifecycle are showing slight improvement on the gross margin level. The R&D, we are at 9.6% versus 10.4% last year in H1. So we are below the 10% we wanted to reach. On the SG&A, we are also seeing some reduction, which is in line with the sales at 1.5%. If I take only the administration cost, we are down by 6%, so EUR 10 million less than last year. So here on R&D and SG&A, we again see the benefit of the cost-cutting program, which has been launched, leading us to an operating income of 6% versus 6.2% last year. On the EBIT, we are at EUR 138 million versus EUR 317 million last year. So here, we have on the nonrecurring OI minus EUR 95 million booked, which is mostly represented by the restructuring costs, which have been booked in H1 '25. And for last year in H1 '24, I need to remind that we had the benefit of the capital gain on the BHTC sales, which was booked in H1 last year. On the net cash flow. So we have posted EUR 114 million of net cash flow versus EUR 86 million last year. So it's an increase of EUR 29 million. So here again, we have an increase of the EBITDA versus last year, which is helping us. And we have also good momentum on the CapEx, which have been reduced. You can see the CapEx has been reduced by 15% versus last year. So we are starting to see the monitoring and the control on the CapEx we want to have, which is benefiting to our net cash flow. With that, I would end the financial presentation and over to Bernard again for the outlook.
Ulric Bernard Schaferbarthold: Yes. Thank you, Philippe. And if we come to the outlook, then on Page 16, the view on the market. So we assume similar to IHS that the market should be around 90 million cars this year, which is very comparable to last year, a slight increase with a continuous downward trend in Europe and as well in the Americas and still a positive growth for Asia Pacific coming especially also out of China. On Page 17, again, our outlook. So we -- we still see, as I said, sales around EUR 7.6 billion and EUR 8 billion. We had EUR 4 billion at the first half. So we are quite confident really on that range as of today, also looking at the current trading. The operating income margin between 5.3% and 6% having been at 6%. We are well on track on this as well. And as I said, net cash flow of at least EUR 200 million. So to sum it up on Page 19. So first, we look at H1. Overall, in our view, a solid performance. We are on track also to our own expectations. The market was demanding with a lot of uncertainties. So we are working very focused on continuing on our structural and performance measures where basically, we already see, as I said, that step-by-step, we are -- it pays off, and we see our cost structure going down. And on the order intake side, especially on the Electronics side, we were able to win very strong businesses, which should support our growth path also in the upcoming years. We, as I said, confirm our outlook. And still, we see that H2 will remain very dynamic and with a lot of uncertainties. But as of today, we see that the positive trend in terms of our sales evolution is continuing, so that we feel confident in terms of the outlook we have given. And lastly, as I said, on the competitiveness program, we are well on track. We are accelerating on the measures. We are adding measures also to further streamline our structures. We added and started the new project SIMPLIFY to improve the processes and the organizational structure, specifically on all corporate functions, supporting functions overall. And as I said, it's a global program, and we anticipate a saving of around EUR 80 million until 2028. So having said that, we are happy to take your questions.
Operator: [Operator Instructions] The first questions come from Sanjay Bhagwani.
Sanjay Bhagwani: My first one is on the FY guidance. When I look at the first half, and if I just bake into your commentary that you are still seeing the positive valuation in sales is continuing. Then you are -- it seems like you normally are trending towards the upper end of the guidance range for both sales and margins. And usually, H2 margins tend to be higher because of the R&D reimbursements and stuff like that. So are you able to provide some color? How you feel about H2 margins? And in that context, do you think the guidance probably more towards the upper end of the range is achievable or not? Or what could be the other factors which could -- which you think could be the headwinds? That's my first question.
Ulric Bernard Schaferbarthold: Sanjay. So you're right, normally on the sales, at least if I look also at HELLA in the last years, it's very comparable in the second half of the year to the first half. So if you take basically history, then it brings us automatically to the upper end. And with that, we would also be confident to be in the upper range of our OI margin. So this, I think, is a fair view on it. It remains, let's say, what is basically the risk for us, still, it remains uncertain how demand will continue. And with all uncertainties we have in the market, specifically also with -- on the tariff side, I think we remain somehow a little cautious. So still, I would say we do not see that in the demands of our customers, that there is -- as I said, we see still the demand quite good. No big changes. But also, we want to see how now when it is after the summer break. Do we then see some changes also on the OEM side? We are not anticipating that, but we know how dynamic the market actually is. And this is why we are a little more cautious in our tone. But it's a fair view you have.
Sanjay Bhagwani: And so my second one is on the Electronics. So the gross margin decline in H1, I think you mentioned it's partially because of the Electronics. And I think you mentioned some write-offs. Could you please maybe provide some more color on that? Because yesterday, like one of your peers reported, and their gross margin increase was driven by material cost improvement and electronic costs. So just trying to reconcile what this write-off pertain to? And if you are also seeing any tailwinds from the Electronic cost deflation?
Ulric Bernard Schaferbarthold: Yes. So if you do the year-on-year comparison, first, the comment I did last year, we sold a small business. It was an asset deal, so our People Sensing business. And this was a EUR 17 million gain, which was in the gross profit last year. So this is the first element if you really compare both. And secondly, as we had one program, which was -- which -- where we had a significantly lower volumes. And there, because of these volumes, we have written off the equipment related to that with an extraordinary write-off, which Philippe mentioned. And this was in the first quarter where we took EUR 10 million into the gross profit as a negative. So this is basically the main change. If we look other than that on our target if it comes really to material cost reduction, I said that we are looking at around 4% of material cost reduction overall we are targeting. And we are well on track on that number now. And we also assume now for the second half that this will continue.
Sanjay Bhagwani: And then just a final one. I know it's probably a lot a bit early for the Q3, but are you seeing the Q3 margin holding up same level as the Q2 or improving? Any indication there will be very helpful.
Ulric Bernard Schaferbarthold: So it's -- as you said, it's a little early. It depends a little bit. So normally, from a sales perspective, because of the summer break, it is slightly lower sales overall. So the third quarter is normally one of our weakest, also if we look at the previous years. But we do not anticipate that we should be also in comparable of last year, there should be a significant deviation to last year. So it should be around that area.
Sanjay Bhagwani: And is it the same for the margins?
Ulric Bernard Schaferbarthold: Yes.
Operator: At the moment, there seem to be no further questions. [Operator Instructions] We're going to give you a couple of more seconds to state your question if you want to. That seems not to be the case, which is fine. I would like to hand over once again to the management for some final words.
Ulric Bernard Schaferbarthold: Yes. Thank you very much to show interest in HELLA and in our earnings call. And thank you for joining, and I wish you a very pleasant day and hope to hear you or see you soon. Bye-bye.